Operator: Welcome to the Anheuser-Busch InBev's Second Quarter 2020 Earnings Conference Call and Webcast. Hosting the call today from AB InBev are Mr. Carlos Brito, Chief Executive Officer; and Mr. Fernando Tennenbaum, Chief Financial Officer. To access the slides accompanying today's call, please visit AB InBev's website at www.ab-inbev.com and click on the Investors tab and the Reports and Results Center page. Today's webcast will be available for on-demand playback later today. [Operator Instructions].  Some of the information provided during the conference call may contain statements of future expectations and other forward-looking statements. These expectations are based on management's current views and assumptions and involve known and unknown risks and uncertainties. It is possible that AB InBev's actual results and financial condition may differ, possibly materially, from the anticipated results and financial condition indicated in these forward-looking statements. For a discussion of some of the risks and important factors that could affect AB InBev's future results, see risk factors in the company's latest annual report on Form 20-F filed with the Securities and Exchange Commission on the 23rd of March 2020. AB InBev assumes no obligation to update or revise any forward-looking information provided during the conference call and shall not be liable for any action taken in reliance upon such information.  It is now my pleasure to turn the floor over to Mr. Carlos Brito. Sir, you may begin.
Carlos Brito: Thank you, Maria, and good morning, good afternoon, everyone. Welcome to our second quarter and half year 2020 earnings call. I hope you and your families are safe and well. First and foremost, I'd like to extend our deepest sympathies to everyone who has been affected by the COVID-19. I want to express our sincere gratitude to those on the front lines for their commitment to keeping us safe, particularly health care workers. I'd like also to personally thank all of our colleagues for their dedication and efforts to ensure business continuity and a strong recovery. The COVID-19 pandemic has altered life as we know it. However, it has not changed our purpose at AB InBev, to bring people together for a better world, even if being together looks much different now.  Today, I will start by discussing initiatives we have implemented to ensure the health and safety of our people and support the communities in which we operate. Next, I will review the results of the second quarter and discuss the ways in which we're positioned for a strong recovery. I will then hand it over to Fernando to talk about our financials. We'll then be happy to answer your questions.  The health and safety of our people has been, and always will be, our top priority. As more of our colleagues return to the workplace in markets where restrictions are being lifted, we have implemented rigorous safety measures such as strict sanitation practices, workplace capacity and social distancing guidelines, health tracking and personal protective equipment.  Our products are almost entirely sourced, brewed and enjoyed locally, making us deeply connected to the communities in which we operate. We're working closely with local governments and other stakeholders to leverage our scale, capabilities and resources to support the fight against the pandemic and to do our part in the economic recovery. For example, we leveraged our facilities to produce and donate millions of units of hand sanitizer, face shields and packaged water. We also helped build public health care facilities in Mexico, Colombia, Brazil and Peru.  Our customers have also been severely impacted by the pandemic, particularly on the on-premise -- our on-premise partners. We're working closely with them through a variety of programs to support business continuity and a strong recovery. The success of these endeavors is thanks to the rapid mobilization and creativity of our teams, has been encouraging and humbling to see that these programs are making a difference, especially through recognitions received such as the United Nations Solidarity Award for our initiatives in Brazil.  Let me now spend some time discussing our second quarter results. Our performance in the second quarter was materially impacted by the COVID-19 pandemic, as expected. Our volumes declined by 17.1%, with own beer volumes down 17.2% and non-beer volumes down 15.5%. As the quarter progressed, we saw considerable improvement month-over-month. In April, our volumes declined by 32.4%. In May, the trend improved with a decline of 21.4%. And in June, we delivered volume growth of 0.7%. We came out of the quarter with reinforced confidence in the resilience of our business in the global beer category. Revenue declined by 17.7%, mainly driven by the decline in volume. Revenue per hectoliter declined by 0.6%, as successful revenue management initiatives were more than offset by the change in channel and packaging mix resulting from the COVID-19 restrictions. Our global brands declined by 14.1% and by 14.9% outside of their home markets, slightly outperforming the total business, but heavily impacted by their exposure to the on-premise channel.  EBITDA declined by 34.1% with margin contraction of 825 bps to 33.2%. More than 2/3 of the cost of sales per hectoliter increase that contributed to margin contraction was driven by the operational deleverage resulting from lower volumes, especially in the beginning of the quarter. As always, efficiently utilizing our resources is part of our DNA and a critical driver of our industry-leading profitability. We implemented several measures to reduce or eliminate discretionary spending, which helped offset the impact of the top line decline and operational deleverage.  Our normalized EPS decreased to $0.46, while underlying EPS decreased to $0.40. Net debt to normalized EBITDA as of June 30 was 4.86x, impacted by the COVID-19 pandemic and our results and the seasonality of our cash flows, which are typically weighted toward the second half of the year. Deleveraging to around 2x remains our commitment and we will prioritize debt repayment in order to meet this objective.  The trajectory of our performance improved as the second quarter progressed. This was the result of being able to resume operations in markets such as Mexico, South Africa and Peru, the ongoing resilience of the off-premise channel and the continued reopening of the on-premise channel around the world. We're excited about the return of on-premise consumption locations, while remaining cautious as we're now seeing renewed shutdowns of these channels in certain markets. In addition, South Africa implemented the second ban on the sale of alcohol beverages in mid-July, which will impact our results in the third quarter.  Let me now take you through the key takeaways for some of our main markets in the second quarter. In the U.S., the continued implementation of our commercial strategy led to a healthy performance with an estimated stable market share for the quarter. Our above core portfolio continued to outperform the industry, supported by the continued success of Bud Light Seltzer and Michelob Ultra. We also saw an improved performance in the mainstream segment, largely due to the uplift of beer sales in the off-premise channel, which benefits established brands and larger packs.  In Mexico, our beer operations faced a shutdown in April and May. The restrictions were lifted at the beginning of June, and we recovered rapidly, delivering beer volume growth of high teens in the month and outperforming the industry in the quarter. In addition, our portfolio of brands became available in 1,600 more OXXO stores in July. We remain excited about the long-term growth potential and incrementality of this opportunity. In Colombia, our performance was significantly impacted by the closure of the on-premise channel and stay-at-home restrictions. However, our team managed to offset some of this impact by quickly pivoting resources to new in-home occasion consumption occasions. We are focused on growing these occasions, while supporting the recovery of our on-premise customers with initiatives such as Tienda Cerca, an online delivery platform, and our recently launched proprietary digital B2B platform called BEES.  In Brazil, our beer business delivered a healthy performance in the context of a volatile environment, with only a slight volume decline that outperformed industry according to our estimates. We saw an improving trend throughout the quarter driven by the success of our enhanced brand portfolio with innovations like Brahma Duplo Malte and our ability to connect with our customers and consumers in new ways by leveraging technology.  In South Africa, our business was significantly impacted by the complete ban on the sale of alcohol beverages, which lasted until the end of May. We're able to fully resume our operations in June and we saw a strong recovery in the month with volume growth of high single digits. However, a second ban of the sale of alcohol beverages was implemented in mid-July. Our priority is and continues to be the safety and well-being of our people and our communities. We remain focused on working with the government on measures that will meaningfully combat the public health crisis, while supporting the country's much needed economic recovery.  Our business in China continued its recovery throughout the quarter. While we faced a 17% decline in volumes in April, we achieved mid-single-digit growth in May and June, with our June performance representing our highest-ever monthly volumes in the country. We saw improving trends in the reopening rates across channels as well as accelerated growth in e-commerce, where we have grown our market share to more than twice that of the next brewer.  In Europe, our performance was heavily impacted by on-premise restrictions. However, we saw a gradual reopening of the channel throughout the quarter, resulting in an improving volume trend. We continue to gain market share across almost all of our markets, supported by the strength of our premium brands.  While the past few months have been challenging, they have also reinforced our confidence in the strength of the beer category and our business. This is evidenced by the rapid improvement of our performance in many markets throughout the second quarter, supported by strong consumer demand in both developed and emerging markets. In emerging markets, favorable demographic and economic trends provide structural tailwinds to drive long-term category growth. For example, the legal drinking age population in Africa is expected to grow by 30% in the next 10 years.  The table on the left side of Slide 11 shows the difference in per capita consumption in mature versus emerging markets. This represents a significant potential volume opportunity in emerging markets of approximately 2.3 billion hectoliters. We have structured our geographic footprint to provide ample exposure to the larger markets that are expected to drive future growth. In addition, we maintain a strong presence in developed markets that generate robust cash flow, with continued growth opportunities from premiumization and innovation.  We believe premiumization will remain an important source of top and bottom line growth in both developed and emerging markets. Beer as a category is still in its early stages of premiumization, even in developed markets, when compared to other alcohol categories. We are all well positioned to capture this growth opportunity as the #1 player in the premium segment in many of our key markets. We have also been investing ahead of the curve in the premium segment through the High End Company, a dedicated business unit with a specialized focus and structure to grow our portfolio global, local and specialty premium brands. The High End Company's a proven model, having gained more than 12 percentage points of market share in the premium segment over the last 3 years in the markets where it operates. We're confident that we have the right brand portfolio and structure to continue capitalizing on the growing premiumization trend across our footprint.  In order to fully benefit from these growth opportunities in the beer category, we have been investing capabilities to better connect with our customers and consumers. Growing trends such as digital sales, e-commerce and online marketing are more relevant than ever before and have rapidly accelerated in recent months. We have spent the past several years building our proprietary B2B sales platform called BEES. BEES combines our unparalleled global logistics system with our internal digital capabilities to provide our customers with a truly end-to-end experience. We have put an important emphasis on this platform over the last several months, helping our teams stay in regular contact with our customers, even when in-person interactions are not possible and by providing a valuable source of data on emerging consumer and customer trends. We believe that our B2B initiatives have the power to transform our business and drive growth. For that reason, we recently restructured our senior leadership team to create a fully dedicated Chief B2B Officer to lead and develop our global strategy.  E-commerce has been a growing channel for the beer category for several years, and the recent situation has rapidly accelerated consumer adoption of this trend. We're seeing strong growth in both our direct-to-consumer platforms and through our partnerships with major global online retailers. Consistent investments in owned and third-party e-commerce, including more than 20 direct-to-consumer ventures globally are positioning us to lead online sales. In the first half of the year, we increased our market share of online sales. In addition, in response to the current crisis, we rapidly develop new proprietary direct-to-consumer platforms to help our customers serve consumers in new ways. A great example is Tienda Cerca, our free online delivery service that's now in use by approximately 400,000 neighborhood shops in 8 markets in Latin America. Our teams have also found innovative ways to connect with the consumers while they stay home. In Brazil, we launched a livestream concert series called lives, which activates several of the top brands and innovations in our portfolio. The platform has tremendous reach across the country, with more than 675 million views in the quarter. To put this in perspective, this is approximately 57% more views generated than the 2018 FIFA World Cup final in Brazil. In addition, we continue to leverage our sponsorship assets in new and creative ways. In the U.K., Budweiser celebrated the return of the English Premier League by offering fans the opportunity to cheer for their favorite teams on billboards, giving them a safe way to demonstrate their support.  In summary, we believe we are well positioned for a strong recovery, even though we remain cautious in the current environment, given the volatility and uncertainty presented by the COVID-19 pandemic. We are proud leaders of the global beer category which continues to show tremendous resilience. We have a diverse geographic footprint with a strong presence in emerging markets that are expected to drive long-term growth. Premiumization offers an exciting opportunity to grow our top and bottom line in both emerging and mature markets, and we have a winning structure to capitalize on this through the High End Company. Furthermore, our significant progress in investment in capabilities such as B2B sales, e-commerce and direct-to-consumer marketing put us in an advantaged position to capture growth from these trends. Most importantly, we have a strong team of talented people with an ownership mindset to leverage these assets as we look forward to a strong recovery.  Now I'd like to hand it over to Fernando. Fernando, please.
Fernando Tennenbaum: Thank you, Brito. Good morning, good afternoon, everyone. I hope you are all safe and well. During the second quarter, we reported a $2.5 billion noncash goodwill impairment charge. The COVID-19 pandemic resulted in a sharp contraction of sales in many countries in which we operate. We, therefore, concluded that a triggering event occurred, which required us to perform an impairment test. The impairment test considered 3 scenarios for recovery of sales for the tested cash-generating units: a base case, which we deem to be the most likely case; a best case; and a worst case. Based on the results of the impairment test, we concluded that no impairment was warranted under the base case and the best case scenarios.  Nevertheless, under the worst-case scenario, run with higher discount rates to factor the heightened business risk, we concluded that the estimated recovery amounts of the South Africa and Rest of Africa cash-generating units were below their carrying value. Accordingly, we determined that it was prudent, in view of the uncertainties, to record an impairment charge of $2.5 billion, applying a 30% probability of occurrence of the worst-case scenario. This was partially offset by a $1.9 billion gain on the disposal of the Australia operations.  Now I would like to discuss the initiatives we have undertaken to maintain strong liquidity while proactively managing our debt profile. In March this year, the COVID-19 pandemic began to have a global impact, resulting in severe market volatility and uncertainty. As a result, we quickly took significant and prudent actions to further strengthen our liquidity position, including drawing down our full $9 billion revolving credit facility for RCF and issuing approximately $11 billion of bonds. On June 1, we successfully completed the sale of our Australian business for approximately $10.8 billion. Following the completion of this transaction, we repaid our RCF in full. At the end of the second quarter, our total liquidity position amounted to more than $35 billion consisting of the $9 billion undrawn RCF and more than $25 billion of cash. This cash balance would be sufficient to cover our debt maturities through 2024.  This liquidity amount was higher than we required to manage our business even in times of elevated volatility. Therefore, earlier this month, we completed tender offers for approximately $3 billion of bonds and announced make-wholes on $1.7 billion of bonds, all of which were maturing between 2021 and 2023. We will continue to proactively manage our upcoming liabilities as we monitor the evolving market environment.  Our updated bond maturity profile is shown on Slide 20. Our maturities are well-distributed across the next several years with each annual maturity tower well below our current liquid position. In addition, the redemption transactions undertaken this month have considerably reduced our obligations for the next 3 years. As a reminder, we do not have any financial covenants on our entire debt portfolio, including our RCFs. Our bond portfolio remains largely insulated from interest rate volatility as approximately 95% holds a fixed rate. Furthermore, the portfolio is comprised of a diverse mix of currencies, with 64% denominated in U.S. dollars and 30% in euro. Our weighted average maturity is roughly 15 years, and we have a weighted average coupon rate of approximately 4%.  I will now take you through our capital allocation priorities. The first priority for the use of cash is to invest behind our brands and to take full advantage of the organic growth opportunities in our business. Second, deleveraging to around a 2x net debt-to-EBITDA ratio remains our commitment, and we will prioritize debt repayment in order to meet this objective. Third, with respect to M&A, we will always be ready to look at opportunities when and if they arise, subject to our strict financial discipline and deleveraging commitments. Our fourth priority is returning excess cash to shareholders in the form of dividends and/or share buybacks. With this being said, we must continue to exercise prudent measures during times of uncertainty and volatility, including efficient management of discretionary expenditures especially those which may not prove effective in the current environment.  And with that, I'll hand back to Maria to begin the Q&A session.
Operator: [Operator Instructions]. Our first question comes from the line of Trevor Stirling of Bernstein.
Trevor Stirling: Two questions from my side, please. The first one, Brito, if you reflect on these results, what has been the biggest positive surprise that's come out of this, particularly compared to where we last talked in May? And the second follow-up question, in Brazil, great top line performance in Brazil, particularly on beer side, but you just clearly suffered on margins from operating deleverage and negative channel pack mix. If we had a normal quarter, whatever a normal quarter is, is there any reason why that margin wouldn't reverse?
Carlos Brito: Trevor, I think the positive surprise for us was two-fold. First, I mean, our people. I think they prepared really well for a strong recovery, and they kept the business running in most places at an amazing degree of flexibility and ingenuity and trying to always see the positive side of things and also protecting our people along the way as a top priority. So that was my first surprise, that we're able to pivot and be agile as consumers went different places, different channels, different packs. And we have a mantra in the company that we have to go where consumers go because that's where growth is. So that was my biggest surprise.  And the other surprise is the way consumers adapt to a new reality during the lockdown and stay-at-home measures. The occasions migrated to the in-home, consumers were able to quickly adapt their way of life, and they found new channels to buy our products and to entertain. We also helped them by offering live streaming, by offering with our technology, the B2B or B2C, that is saying, the D2C technology that we have been investing for 5 years. They went through the roof in terms of adoption. Just so you have an idea, our D2C platform in Brazil called Zé Delivery in the month of May and again, in the month of June, they have more orders for beer to be delivered at home in less than an hour, normally 40 minutes, cold, than they had in the whole year of 2019. So they had the whole year in 2019, more than that in May, and then again, more than May and more than '19 in June. So that was a positive surprise. I think in terms of Brazil top line and margins, what we need to understand is that the margin structure in Brazil, like in many places, were all messed up because of all the different things that happened, right, in terms of channel mix, pack mix, everything, right? So -- but when you look at Brazil in a normal quarter, I would say that there are some interesting things. I mean first, volume recovery has a big impact on margin because let's remember, a lot of our margin compression this quarter in Brazil was because of volume deleverage. So the fact that volumes could recover fast, that could be a big plus. Another one is the on-trade reopening. With the on-trade reopening, we have 2 things going in favor of higher margins. First, the returnable glass bottle that pretty much ceased to exist in our mix, because their on-trade was closed, will go back. And premium products are very also skewed towards the on-trade. So those are 2 margin-enhancing levers.  The second one is that the core plus and premiumization strategy remains very alive with new innovations. Our portfolio continues to be more and more interesting to consumers. And again, we continue to dislocate resources or put more resources behind the core plus like Brahma Duplo Malte, like Beck's, like our premiumization portfolio, Corona, Bud, Stella, Hoegaarden and the local specialties like Bohemia, like Colorado. So I mean lots of things going on there. And when consumers are back to on-trade and more of a new normal, that's another thing to increase margins. And the other one is continued innovation. For the past 2 years, as Jean, our CEO of Ambev, arrived from China in Brazil 2 years ago, and now he's the CEO of the Ambev operation, he came with 2 or 3 things that are really important at that time for the Brazil operation. First one, he came with this idea of innovation that in China so much the day-to-day of our business. And in Brazil, not so much so. Now innovation is becoming like table stakes for us in Brazil. And Brahma Duplo Malte, Skol Puro Malte, all those things are proving that, Beck's and all that.  Second thing, he came with this idea that technology could play a much bigger role in our business, especially in the consumer side because in China, this is much bigger than the rest of the world. And again, when you look at their delivery, that's also something that ZX had invested, but he took ownership of that and grew that big-time. And the third one is agility, doing everything I just said in a very fast way, which is, again, China, the China style. So I think those are all things that when the new normal sets in, those are all drivers for enhanced margins. Thank you.
Operator: Our next question comes from the line of Robert Ottenstein of Evercore ISI.
Robert Ottenstein: Great. I'd like -- if you could address sort of two related things. One, kind of the U.S. results that were very strong and tied to that, with Spiked Seltzer. So first, if you could talk about how you were able to keep market share flat, which is the best result really in memory in the U.S., given the incredible growth of White Claw and Truly. So that's quite an accomplishment. And then second, as you look at Spiked Seltzers, both in the U.S. and internationally, how much market share in Spiked Seltzers do you need in the U.S. to offset any general industry substitution? And related to that, what do you see the international potential to be for Spiked Seltzer? I know there's a lot there, but important questions.
Carlos Brito: Thank you, Robert. So first thing, I mean, we're very happy with our market share performance in the quarter and in the year. And this comes not by accident. This is a commercial strategy that Michel put in place 2 years ago. That was very clear in its 5 drivers, and it's beginning to bear fruits more and more. But if you look at the Q2, quarter 2 market share, there were 3 drivers for the flat share performance, which is great. First, the mainstream brands, Bud, Bud Light, Natural and Busch performed much better, so that's one thing. The second one is the core plus segment with Michelob Ultra that continues to perform amazingly well. And the third one is the Bud Light Seltzer.  Let me give you some color on Bud Light -- on Michelob Ultra. Michelob Ultra continues to perform ahead of our expectations, growing 23% versus last year and is the #1 fastest share-gaining beer, excluding seltzers, to continue that long-term trend of being the #1 fastest share growth within beer. Also, it became now a sizable brand. So this 23% is off of a very big base. So today, according to IRI, Michelob Ultra is the #2 beer in terms of dollar sales in the beer category, only having Bud Light ahead of it. So in terms of dollar sales, Bud Light and then Michelob Ultra, ahead of all the other light competitive brands.  So -- and in seltzer, we grew 600% this quarter, once again, to a category that grew 300%. So Bud Light doing very well, we doubled the share of our seltzer portfolio this quarter compared to last quarter year-on-year -- I mean, year-on-year comparison. So we'll continue to grow in seltzer. And the good thing, Robert, on seltzer is that today, our variety packs of Bud Light Seltzer has the same rate of sales as the 2 leading brands in the seltzer category for the variety pack. So -- and that is the rate of sales had increased from first quarter to second quarter. So again, seltzer doing very well, very profitable.  And you're right. I mean, we're beginning to look at it already -- not beginning, we're already running pilots in countries around the world because we see that what seltzer offers, which is low carbs, low calories, more co-ed flavors, less bloating, these are things, that according to consumer insights, mostly in more developed markets, are also there for the take. So given our global footprint and scale of route to market and consumer insights in those markets, we feel we have a big opportunity here as well. Thank you.
Operator: Our next question comes from the line of Sanjeet Aujla of Credit Suisse.
Sanjeet Aujla: Brito, I'd just love to understand the dynamics in Brazil a little bit better. It seems like it was an impressive performance in May and June. Can you just talk a bit about the competitive landscape over that period? And is there any difference between sell-in and sell-out in Brazil over the period?
Carlos Brito: Well, Sanjeet, in terms of the competitive environment, as we know, Brazil has always been a very competitive marketplace. I think we saw some advantages on the way we are structured and the investments we put in place in the last 5 years coming to fruition now during COVID. For example, a lot of the share gain we had in Brazil in the sense of us being -- outperforming the industry, had to do with a couple of things. First, I mean, we have -- 70% of our distribution is in our hands. So that means that we have a seamless contact between the brewer and our direct distribution operations.  Second, our innovations did very well, right? So innovations did very well with Brahma Duplo Malte and things like that, that performed very well like Beck's as well. When you think about Brahma Duplo Malte, it has been an amazing innovation. It was launched this year, but with COVID, with the live streaming that we're doing for consumers, Brahma Duplo Malte was the main sponsor, and that also brought awareness to the brand. So another thing we had is that we decided to really service the smaller POCs (points of contact/sales) more and more where we have more of a stronghold, where a lot of consumers were migrating towards because they were buying within their neighborhood, right?  We also focus on the consumer and the investments we've done in the last few years in terms of technology platforms for B2B and B2C grew exponentially. I'll give you a couple of examples. So our B2C business, like Zé Delivery, we had -- in this quarter, we had 5.5 million orders, and that's more than 3.5x last year's 12 months number of orders. So bringing that to more details. In May, we had around 2 million orders. And in the last year, for the whole 12 months, we had 1.8 million orders. So in one month, we had more than the whole year last year. And in June, we had more than May in terms of orders. So consumers really adopted the contactless delivery option that we have been -- invested for 5 years. So -- and the B2B app was also adopted because we have -- when POCs were locked down, and our sales reps could not visit them, we had many points of contact with them.  We have tele-sales. We have more and more our B2B app, which is the app-based ordering system. In all this, the adoption rate for this new technology, the B2B app, went sky high. So I mean a lot of those things that we have been investing in the 5 years prior really went up big-time and became very relevant for customers and consumers, plus the innovation, plus the 70% of our volume that is done through our own distribution system and also the fact that we're close to consumers, giving them entertainment at home with our lives that had close to 700 million views, which is more than 50% of the World Cup's 2018 final in Brazil. And you know Brazil, people are crazy about soccer. So this is some things in the competitive environment and how we responded to it and why we performed better than the industry in our estimate.
Sanjeet Aujla: And is there any difference between sell-in and sell-out over the period in Brazil?
Carlos Brito: Well, what we saw is that because the -- I mean, the on-premise was pretty much shut down, mainly restrictions. So everything was the off-trade. In the off-trade, everything that was coming in was going out because, again, it was the only channel for people to buy beer. So again, in the second quarter, our volumes that had a slight decline of 1.3%, but be sure that the months were much better from April to June, and this outperformed the industry according to our estimates.
Operator: Our next question comes from the line of James Edward Jones of RBC.
James Jones: You talked a lot in the statement about e-commerce in a sort of qualitative way. But could you maybe put some numbers around that, put it in some sort of context? And also, can I just check what Fernando said about the debt? Was it that you had enough cash available to redeem debt out to 2024?
Carlos Brito: Yes, sure. So in terms of e-commerce, I'll give you just 3 examples. In Europe, our proprietary e-commerce platforms, and we have both -- we have 2, 1 in the U.K., 1 in Continental Europe, they doubled their volume during COVID, and they continue to grow. In China, our volume in e-commerce that has always been strong, grew at a very accelerated pace. And today, we have double -- we lead the segment in terms of beer sales, and we have double the share of the next brewer. So that's another touch point. And in Brazil, as said before, our direct-to-consumer is just part of the e-commerce world because it connects consumers of delivering beer to your home in less than an hour, normally 40 minutes, cold that we invested 5 years ago, and it was growing, growing, growing. In May and June, we sold more than the full of last year in both May and then again in June. So this is just to give you an idea of how these platforms really that ZX invested 5 years ago are now totally on-trend and is providing us a big leg up our competitors because of that. And the second question -- sorry?
James Jones: Sorry, will you tell us what proportion of your sales are from e-commerce?
Carlos Brito: Well, it's still small, but we don't have a number at this point because we feel at this point, it is competitor-sensitive, but it's small, but growing very fast. Let me now have Fernando address your second question.
Fernando Tennenbaum: James, on the liquidity, what I mentioned during my opening remarks is that given all the prudent measures that we took to address our liquidity, we now are in a position that we have enough cash on hand and not liquidity cash, actual cash on the balance sheet, for the maturities throughout 2024. Given that this level of liquidity is even higher than would be required, even in a volatile environment like we are seeing now, that's why we've been doing these bond redemptions and make-wholes to make sure we reduce a little bit of the cash balance and also reduce the short- and near-term liabilities.
Operator: Our next question comes from the line of Tristan Van Strien of Redburn Partners.
Tristan Van Strien: I'm very worried about South Africa on multiple levels. But you say you're working with the government. But when I look from the outside, when I speak to other guys in the alcohol industry in South Africa, it does not appear to be the case. And you have other groups like the taxi industry, much more powerful. So can you maybe give a bit more detail, a bit more comfort that you are on top of it, that your corporate affairs is capable to deal with the situation? And perhaps related to that as a follow-up, what does this also mean for your Zenzele program? Because when I look at it, half these taverners that Zenzele is supposed to be supporting or engaging won't exist at this rate by the time the ban is lifted.
Carlos Brito: Well, a couple of things, Tristan. First, in South Africa, it was very unfortunate that we had a second ban. We're working to the government -- we have access to government, so they will talk to us. We have also put some -- we're also trying to help the community, first and foremost. First, our employees, make sure they're safe, our colleagues. But second, we are more involved, as time goes by, with trying to do more and more for the communities. So I think that's important as well.  And trying to show that there is a whole part of the economy that's connected to our business, from small-hold farmers to taverns to our people to tax collections that we do, to retailers that depend on our business. And what happens is that when you have a dry law like that you have a ban on alcohol, a lot of very sad side effects starts happening, right? So really alcohol goes out big-time. Smuggling, criminal organizations start getting on beer in terms of smuggling. We've seen that in Mexico, for example, during 2 months of lockdown, the same happened. In South Africa, we saw the same during the first lockdown. And now we think we'll see the same in that second -- in the second alcohol ban.  We continue to talk to the government to show that we can be part of the solution and that some of the conclusions they had in terms of alcohol causing some issues were misled because when we look at the documents, we couldn't see that. So what you see is that when people have curfews and they are locked in their homes, yes, there's no crime, there's nothing. There's no traffic accidents because nobody is moving. As people start moving, all those things happen, no matter what, with alcohol or without alcohol. We're not saying they're not over-consumption sometimes. We're not saying that. But there's no -- in the medical records that we examined, there's no reference to alcohol causing or being the main driver for any of these things. The other thing we see also in terms of domestic violence, which in South Africa is an issue, is that in other countries, even with alcohol ban, domestic violence increase when people are forced to stay in closed quarters for a long period of time with no jobs and no income. So again, we think that we'll continue to work in South Africa. Hard to say now when this thing will be lifted, but we continue to work with them.  On your Zenzele question, we have agreed already with them on the payout. And we are very connected to our customers to make sure they come back to business because they are an integral part of our ecosystem. We're doing that in many countries, we're doing that in Europe, in the Americas. We're doing that in Africa as well. So we're trying to help them with credit, with assortment so they can come back to business because it's important not only for the communities, because of all the jobs and families that depend on it, but also because of the way we get our products to consumers. So we're very connected to trying to get them back to business as soon as possible.
Operator: Our next question comes from the line of Simon Hales of Citi.
Simon Hales: A couple of quick ones for me. Brito, I mean could you talk a little bit more about the exit rate for the group in June when you flagged in the statement that the June numbers benefited a little bit from the replenishment that you saw in South Africa and Mexico? Could you give us an idea what the real underlying exit rate was in June ex those effects? And was -- were there any other markets where there's a little bit more replenishment perhaps in the June period, perhaps flattering that exit rate a little bit?  And then secondly, I wonder if you could just talk a little bit about sort of the recent trading backdrop in the U.S. We've clearly seen a number of your competitors suffering perhaps a number of out of stocks on brands and packs. I believe from your standpoint, you've been much better prepared from a supply chain sort of standpoint. Can you just confirm that's the case and what you're seeing really, please?
Carlos Brito: Well, in terms of our stocks, it's kind of hard for us to talk about competitors because we only see what we see in the marketplace. And I think the biggest one there is to -- what we hear from our customers, right? Our customers are telling us that our service level is better than some others during the month of June, leading into Fourth of July. So that's good to see that we're in better shape, but there's still lots to do. Our supply chain is also stretched like everybody else. I think we have an advantage because Michel and his team in the U.S. has been a big advocate to have one supply chain end-to-end. So our suppliers are connected to our breweries that are connected to our wholesalers that are connected to our customers. In doing that, we can see quickly what's happening in terms of inventory and consumer trends and react quickly within the supply chain, going all the way to our suppliers. So I think that's a big advantage.  We're using machine learning, big data and all that because, of course, you have a lot of data points, a lot of different regions in the U.S. have different patterns on how they are evolving during this pandemic. So it's good to see that Michel put that in place, and we're now taking some benefit. But make no mistake, we're also stretched. And I think the big stretch will be now between Labor Day, between 4th of July and Labor Day during the summer. We're going to be stretched as well, but maybe from what customers are telling us, we're more organized. We'll see. But we prepared for that. It's not by coincidence or by accident.  In terms of exit rate, if I understood your question correctly, June, of course, was stronger than April and May. A lot of that or some of that had to do -- a lot of that had to do with consumer demand just because the on-trade was reopening, some countries that had been locked down, consumers were able to buy our products again. But there is some stock replenishment as well. I mean when you think about Mexico, that was closed down for 2 months, South Africa, same thing, Peru, the same thing. Panama, the same thing. You see that those countries, of course, are replenishing the pipeline. So it's a mixed picture between consumer looking for our products after months of being -- not having that supply. So there's a supply -- demand component, but there's also some stock replenishment, especially in some key market for us like Mexico, South Africa and Peru.
Simon Hales: Got it. And are you able to quantify how big a benefit that was, Brito, around the replenishment, to give us an idea what the real underlying rate would have been ex that?
Carlos Brito: No, not at this point. But again, in those countries, that was a big component of inventory just because the whole pipeline was empty.
Operator: Our next question comes from the line of Pinar Ergun of Morgan Stanley.
Pinar Ergun: I have one on China. It appears that mainstream and local brands are doing better right now. Is this truly because of the channel shift? Or do you see some down-trading? And I guess what gives you comfort that this trend is temporary and premiumization should continue in the long term? And in your answer, it would be really helpful if you could also give us some color around the competition dynamics in the premium segments as well.
Carlos Brito: Well, thank you for the question. I mean in China, what happened is that because of the nightlife being shut down, premium suffered, core doesn't depend on nightlife. And because everybody was buying more in the in-home channels because they could only go to local stores because of the shutdown, the lockdown, core benefited. But I think this is temporary. The premiumization in China remains strong. And as we see from April to May to June, as POCs reopened, you see premium, Super Premium going back faster than core. So -- but yes, there was an element during the lockdown in which the nightlife was shut down and only food stores are open.  And in food stores, normally, what you have is core brands or even value brands. But now as the nightlife is 80% reopened, China's restaurants, 90-plus percent reopened, in-home that were always open 100%. Then you have more of a normal balance, and then you see premiumization again continue. So we think this trend is there to stay. In terms of the competitive environment, China has been always very competitive. We respect our competitors, but we respect much more and focus much more on consumers, where they are going.  Because at the end of the day, the reason why we went from nothing in China to being the market leader in terms of profitability, not in terms of volume, but in terms of profitability is because we're always going where consumers are going and try to even go before they go because we had insights, not because we're looking at competitors. Of course, we respect them. We have an eye on what they're doing. But most of our attention is on our consumers, their trends, servicing our customers and wholesalers and paying attention on what matters and people that really set trends, which are consumers and our customers. So that has always been the mantra in China.
Operator: Our next question comes from the line of Toby McCullagh of Societe Generale.
Toby McCullagh: Just two questions, please. The first is just on deleverage. At the half year, you're at 4.9x, and you've reiterated the target of 2x. The dividend's already been cut, Australia has already been sold, and the IPO in Asia has happened. Is the current plan that you get to this target now organically? Or are there other options, which are sort of actively up for consideration?  And then secondly, just on the U.S., 2 things. First, you flagged it in the mainstream business, good share performance within mainstream, but you flagged being a beneficiary of a flight to familiar brands and larger pack sizes. Was that just a knee-jerk reaction of consumers in sort of fear of shortages at the beginning of the period and changed shopping habits? Or is that something which has been sustained through the quarter and also into the exit rate? And then just secondly, within the U.S. still, on margins, you flagged there was a timing issue on variable comp reaccruals. Is that likely to be material in the second half?
Carlos Brito: So let's start with Fernando answering the deleverage question.
Fernando Tennenbaum: Thanks, Toby. So our capital allocation priorities have not changed and the leverage into the optimal capital structure remains a priority. Of course, this year is unique, and our half 1 '20 performance was materially impacted by the outbreak of COVID-19. As a reminder, earlier this year, we made the decision to reduce the amount of the final 2019 dividend, given the uncertainty, volatility and continued impact of the COVID-19 pandemic. We believe this was prudent and in the best interest of the company. This decision is consistent with our financial discipline, deleveraging commitments and other actions taken to navigate this environment.  We are always reviewing our asset base to identify noncore assets that can be divested as part of our normal business operations. At this stage, there are no major divestment plans to highlight. Our debt portfolio has a very manageable maturity profile on coupon. And our liquidity position, as I mentioned on my opening remarks, remains very comfortable despite the impact of COVID-19 on our business. Therefore, while we are prioritizing deleveraging, we are not forced to make any short-term decisions that won't be value-creative in the long run.
Carlos Brito: And the second question, Toby, on the U.S. I mean what we saw is that the drivers for our flat share in the second quarter were threefold. First, Bud Light Seltzer and its success within the seltzer growing double the category. Michelob Ultra continues to be the #1 share gainer within beer, with exception to seltzers, but within beer and growing 23% of a very large base. Michelob Ultra is now, in dollars, the #2 beer in the U.S. after Bud Light. In the mainstream, that performed better where Bud and Bud Light reside. So Bud and Bud Light 2 of our big brands around the world, they increased their share within beer during COVID just because consumers are growing everywhere for big trusted brands, big packs and cans. So this has been sustained throughout the COVID, April, May, June, continues to be the same case pretty much everywhere in the world.  And this is providing us an amazing opportunity for sampling. We think there will be residual. Early to say, but a lot of people that maybe were not in touch with Bud and Bud Light, for example, are now in touch with them, and these products are great. So it's great to see that people are back to trusted brands that they know. But we'll see. I mean, we have to see what happens when on-premise opens and people are back to a new normal, what will happen to the big brands. But we're very happy in supporting that also we continue to bring innovation to the families of Bud Light and Budweiser. Bud Light there is seasonals that brought now to the summer. Bud Light has Bud Light Seltzer, and there is other things in the pipeline to come during the summer. So I mean we're also investing in innovation for both Bud and Bud Light, so they can continue to appeal to consumers. So -- but yes, very happy with the share performance.  And in terms of your question about variable compensation accruals. Our variable compensation accruals were adjusted in line with our current performance, which has been significantly impacted by the COVID. On an organic basis, this compared year-on-year to a strong second quarter, with top line growth of 6.2% and EBITDA growth of 9.4%. Therefore, to your question, last year, we would have accrued a higher amount of variable compensation than we have so far this year, given the superior performance in the second half -- second quarter and first half of last year. At this point, that's all we can say because it's hard to predict the second half. But the first half of last year was much better. So the accruals were higher.
Toby McCullagh: That's very clear. Can I just follow-up on Bud Light Seltzer? Where is it sourcing from? I mean great growth, but where is it sourcing from?
Carlos Brito: Very good point. I mean 40% of the Bud Light Seltzer consumers are being sourced from outside of beer -- the beer category, 40%. And yes, that's it, 40%, yes. So sourced from within -- 60%'s being sourced from within the seltzer category and 40% from outside of seltzer categories and incremental to the beer category. And again, it's good to know that the Bud Light sells a variety pack as the same rate of sales as the two leading brands' variety packs in the seltzer category. So it's a brand that's very strong not only because it was launched, but because the repeated purchase has been very strong.
Operator: Our next question comes from the line of Richard Withagen of Kepler Cheuvreux.
Richard Withagen: I have two questions, please. First of all, going back to Brazil, I mean, it's a challenging market with the impact of COVID and difficult economic conditions. If we go back to 2015, '16, we saw volume losses during the recession. Are you expecting something similar in Brazil in the next few years? And how are you preparing for this? And the second question is on your costs. Your SG&A declined by 7% on an organic basis in the second quarter. And how do you see that develop, firstly in the short-term as markets recover? And secondly, longer term, do you think you can retain some of those savings?
Carlos Brito: You're talking about cost in Brazil?
Richard Withagen: No, the second question was on -- at group level.
Carlos Brito: All right, group level, okay. So in terms of cost at group level, Fernando will take that question. I'll take the first one on Brazil. So in Brazil, as you know, the 2015, '16, '17 was the worst, worst crisis that Brazil had in many years. And there was tax increases, there was commodity, there was the FX, there was -- the consumer was under pressure, high inflation, everything. So what happened there is that we also took some price decisions that, looking back, didn't work so well. We learned from it. And I think now what's happening -- what's different in Brazil is that we have a portfolio that's broader. We have innovations that are working. We have technology that allows us to connect consumers in POCs in a different way. We have a toolkit to deal with the value segment with local craft beers that we didn't have then. And we have other affordable solutions like the 300 ml returnable glass in the 18-pack can that has a special or specific excise tax connected to it that's lower than the average of beer.  So I mean when you put it all together, I think we have way more tools in our toolkit to make sure that we weather the storm better. We also have, of course, government helping consumers with BRL 600 per month that consumers are getting, which is important. And we'll see until when consumers will have that. So the situation remains fluid. But I think in terms of our toolkit, we had way more reasons to believe that we're going to be able to deal with this situation in a better way, but that's what we think. I mean there's a lot of things that are outside of our control.  But if you look at everything I just said, in terms of the toolkits for affordable brands, in terms of innovations like Brahma Duplo Malte, that's really getting share and making us perform better than the industry, when you look at technology at the B2B and B2C level, when you look at the way our people are way closer to consumers just because of this technology and the data points that are being generated, and therefore, the ease of getting insights, I mean, these are all very important things that I think are going to -- on the things we control, we're better prepared, I think. But there are many unknowns out there. The situation remains fluid. So we have to be -- we're optimistically cautious -- we're cautiously optimistic. And in terms of your second question, Fernando can tackle that in terms of our cost.
Fernando Tennenbaum: Richard, on the cost side, there are 2 dimensions. One is the cost of goods sold. When you look on a per hectoliter basis, it's fair to say that 2/3 of the cost of goods sold increase was a function of the volume deleverage and also a significant portion of the remaining increase was given the package mix, which was driven by the channel mix and the different shifts we saw during the quarter. On the SG&A, a lot of the reduction you saw was the efficient management of discretionary expenses, as we mentioned, especially those which might not prove effective during the current environment.  But going forward, we -- of course, you can always benefit from some of the learnings. And efficient utilization of resources always remain our core competence. And going forward, I think we're always going to be agile and quick to react. But we are going to continue to invest in the brands. That's very important for us. And since the situation is very fluid, we are not going to be providing any guidance on levels in the second half of the year.
Operator: And ladies and gentlemen, we have time for one more question. Our final question will come from the line of Edward Mundy of Jefferies.
Edward Mundy: I've got one question, one follow-up. The first is a basic one around the tax rate. The Q2 tax rate was about 19%, H1 tax rate is a little bit higher. I know you're not giving guidance, but I was wondering whether you'd provide a bit of a steer as to roughly where the tax might end up for the year. And then second, just to follow-up that last question around margins. Just as you think about philosophically hanging on to some of the savings that you're finding and reinvesting behind growth, is there any reason why you won't get back to the high watermark of 40% EBITDA margins in 2019?
Carlos Brito: Yes. So Fernando will tackle the first one about -- on tax rate, and I'll tackle the second one. When you ask margin, are you talking about Brazil? Or are you talking in general?
Edward Mundy: Total. Total group margins.
Carlos Brito: Sorry?
Edward Mundy: Total group margins.
Carlos Brito: Group margin, okay.
Fernando Tennenbaum: Okay. So on the first one, on your question on ETR, the decrease on our normalized ETR, excluding the market-to-market gains or losses, linked to the hedging of our share-based payment programs in both H2 as well as second quarter, is primarily driven by country mix and positive impact of tax attributes with taxes applied on a lower base as a result of the COVID-19 pandemic. On the next one, I'll turn it over to Brito.
Carlos Brito: Yes. On the next one in terms of margin, I mean, there are many things there that impacted our margin this year. First, the volume deleverage. That was the first one. So volume deleverage, as said here, impacted 2/3 of our cost of sales this quarter. So that, of course, as volumes pick up, that volume deleverage will disappear, cost of sales will go back, and that was a huge impact on our margin. Second one is the channel mix. I mean the on-trade in some countries, important countries tends to be more profitable than the off-trade and the on-trade is shut down or operating at a minimum capacity. So the off-trade grew in importance and that is an issue for margins because of the relative profitability.  The channel mix also caused another mix issues, which is the package mix. So normally, in many important countries, the package mix in the off-trade has lower margins than the packaging mix in the on-trade. For example, returnable glass bottles are more connected to the on-trade, and they are gone when the on-trade is closed. Keg, the keg business normally is much better for margins, but they're gone when the on-trade is closed. In FX, I mean, we had FX in emerging markets going up big time, now they're coming down. But FX, of course, and commodities in general also put pressure on margins. So I would say that when COVID is over or this whole situation is a bit better, you could see that consumers will go back to more normal life. Channels will be more balanced as they were before, FX maybe will be to a more normal place and so commodities and all that.  But the things we control or that we see consumers control is premiumization will remain. That's very important, right? Technology will continue to play a role because as we get more efficient in contacting customers and consumers, that has an impact on margin. The scale will come back as volume deleverage ceases to exist. And we're learning more how to invest behind our brands. I mean for example, using digital. The lives in Brazil has an amazing return on investment because you don't need to spend money creating all the venues and the stages and everything, those productions and you have people connecting and buy online because now we have direct-to-consumer delivery. Long term, the returnable glass bottle will continue, right? So again, I think in summary, premiumization, technology, scale, best-practice sharing and the global footprint, which is a huge asset. So those are things that could get margins back to where they once were.
Edward Mundy: That's great. And Brito, I mean, you sort of saw China go into the crisis first and then come out the crisis first. Based on what you're seeing in China, does that give you confidence that the on-trade is going to make a full recovery around the wider sort of global picture?
Carlos Brito: Well, we still have to -- I mean, the -- I mean, if you look through the quarter, look at the nightlife, for example, where we have a lot of our margins, it went from 25% reopened to more than 80% now, right? So that's very important for margins. Consumers continue to up-trade, super premium brands' doing well. They didn't grow faster during the COVID because the nightlife was shut down and the in-home was the only one open. And in the in-home, core, core plus brands tend to do better. e-commerce growing very fast and premium brands tend to do better in the e-commerce than core brands, right? So -- and then, I think those things are very important. The channel, therefore, the brand mix, e-commerce, all those things are margin-accretive in China.  And let's remember that our Super Premium business in China has a lot to grow. And we're still at its infancy. We did the premium -- we developed the premium segment in China, but now we've developed the Super Premium segment in China, where we lead by far, and that Super Premium was impacted -- grew, but it was impacted in terms of its growth rate by the pandemic because many channels are closed, shut down. But as people go back to their normal lives, Super Premium and premium will grow faster as they were before, and that, again, is great for margins. Thank you.
Operator: And that was our final question. If your question has not been answered, please feel free to contact the Investor Relations team. I will now turn the floor back over to Carlos Brito for closing remarks.
Carlos Brito: Well, thank you, Maria. In summary, we're excited about the future prospects of the beer category and we're confident in the fundamental strength of our company, rooted in our brands and footprint, our capabilities and most importantly, our people. We have a culture of ownership and a long-term mindset. Our people are rising to the challenge each day, demonstrating creativity, passion and strength to keep us move forward.  I'd like to once again close by saying thank you. Thank you to everyone on the front lines for their commitment to keeping us safe, particularly health care workers. And thank you to our teams, especially those on the ground, ensuring business continuity. You inspire me every day, and I'm so proud to be your colleague. Thank you for joining the call today. We hope all of you stays safe and well, and we hope to celebrate a strong recovery over a beer soon. Thank you. Have a nice day.
Operator: Thank you. This does conclude today's earnings conference call and webcast. Please disconnect your lines, and have a wonderful day.